Tobias Stadler: Dear ladies and gentlemen, I'm delighted that you have dialed into this call and a very warm welcome from my side. My name is Tobias Stadler, and I'm joined by my colleagues, Laura Deininger, Stefan Arnold; and of course, our CEO, Peter Stadelmann; and CFO, Jorg Walter. Before we start, as always, a few hints at the very beginning. All participants remain muted during the call. After the presentation we will directly go over to the Q&A session. Today, Stefan will read out the questions you send us via e-mail. Your questions will then be answered by Peter and Jorg. Thanks to all of those who sent them in advance. This makes our life a bit easier, and we hope the answers will be more helpful for you. If we already gave the answer to your question during the presentation or if we already had a comparable question, we then might not repeat the question later on. However, we will make sure that all questions will be answered before we close the call. This call is being recorded. We will send the YouTube link to all participants after the call. We kindly ask you not to share this outside your organization. With that, I hand over to Peter.
Peter Stadelmann: Good afternoon, ladies and gentlemen. Before I look back on 2024, let me look back to 3rd of March 2000 when the success story of the RATIONAL share began. The issue price was EUR23. The first trading price already was EUR35. And nevertheless, the RATIONAL share was not taken seriously by many market participants as a representative of the old economy at that time and many software and technology stocks were heavily hyped and the new economy was predicted to have a prosperous future. Today, we know it did not. If you are interested in more details, please visit our website. We see on this chart the development of the RATIONAL share price in red and the MDAX and the DAX below in blue and gray. So I think you know that even better than we do. The greatest milestone in 2024 was the beginning of a new era, the iHexagon. The world's first six full tray cooking appliance using three sources of heat transfer. Not only did we add microwave into a combi oven, the iHexagon is using all three energy sources intelligently. That means no operator needs to know how those three are combined in what ratios, in what timing, in what performance. That is taken care of by the unit itself. We launched the iHexagon in three markets and in the first stage for selected customers only. Let's have a look at the successful installation in a U.K. soccer stadium in Ipswich. [Video Presentation]
Peter Stadelmann: Yes. That’s, I’d say, again we delivered more than what we promised if you heard Christian saying that the lamp now takes more than half of the original time. That’s the big advantage of adding microwave in the iHexagon in the second stage, we presented the iHexagon at trade shows in U.S.A., U.K. and Germany in 2025 to all visitors. There were exciting live cooking demonstrations that thrilled numerous visitors. The performance of the iHexagon was highly praised by visitors and our early customers. Additionally, the iHexagon has won several awards highlighting its outstanding quality, performance and leading innovation. I would also like to mention that we reached 100,000 RATIONAL devices being connected. Even when the commercial kitchen is not the first spot to use digital tools, it will finally be using them. So I assume that there is no other product category in the hot kitchen with a higher connectivity than the RATIONAL units. Connected cooking and the additional services offer many benefits for our customers. They can save resources, they can simplify their daily operations. They can maintain hygiene standards or get a lot of inspiration by new recipes using connected cooking. Another milestone was our progress in our sustainability strategy. Our vision is to be a company that people want to exist. So our main contribution, of course, to a more sustainable world are our cooking products. They help customers save energy, save resources like water, prepare better food, healthier food in better working conditions. So we think that we help tremendously environmental and community goals with our products, but also, of course, we look at our partners, our employees and our infrastructure and mobility with regard to improve sustainability. I would like to give a short update on strategic projects. You know that we are increasing the capacity for the iVario production in France in Wittenheim. The administration building is already in use since mid of 2024 and the assembly will move in, in second half year 2025. Total CapEx spent over several years was EUR35 million. Then our Road to China project, where we start ramping up a production site in Suzhou. Start of production will be end of 2025 and start of sales will be early 2026. Roughly EUR10 million is CapEx in China for this new plant and machinery. And then the latest strategic project is our new service parts distribution center in Landsberg, where we started the construction earlier this year. This will be roughly EUR60 million spent into the construction, half of it and the second half spent into the automation and automated warehouses. That should be up and running end of 2026. With that, I would go to facts, figures and data. Let me begin by saying a few words about the economic environment for the 2025 financial year. The global economy grew by 3.2% last year with the usual pattern. Developed countries, 1.7%, slightly less; emerging markets, 4.2%, slightly more. Overall, this was above the average of the last 10 years. As a focused company, we operate worldwide. We want to reach customers in all regions of the world equally and bring them our customer benefits. This gives us growth opportunities worldwide, and it also -- it is also an important element in our risk management. The last two years with stagnation in Germany and consequently negative effect on the hospitality industry illustrate how important this global orientation is because from a worldwide perspective, the development of the commercial kitchen industry was positive and will be positive. Therefore, we can once again present figures with new record values. And last year, once again demonstrated that our business model is resilient to economic fluctuations in the regions of the world. We published our business figures on February 6 in the corporate news. Let's now take a more detailed look at the full figures for the last fiscal year. Let's start with sales. Despite the challenging economic situation in individual regions of the world and among individual customer groups, we continued our growth path. We achieved a new sales record of EUR1.194 billion and exceeded the previous year sales by plus 6% or almost EUR70 million. We were thus within the range of our forecast at the beginning of the last year and thus had an overall business development that was in line with our plans. A look at the business performance quarter-by-quarter during the year shows that we were able to close the financial year in the fourth quarter with a new quarterly record of EUR318 million and a growth of plus 9%. As a result, we are returning to our usual seasonality in 2024 finally, the first completely normal year after the pandemic and the supply crisis. This means that a weaker first quarter will be followed by two comparable quarters with the highest fourth quarter at the end of the year. In 2023, we haven't had this typical seasonality yet. Their quarterly sales were more evenly spread over the year. This was an after effect of the supply restriction from 2022. For more details, I'm glad to hand over to Jorg now.
Jorg Walter: Yes. Thank you very much, Peter. And also from my side, a warm welcome to this call. Now let's have together look at the business development by regions. Europe, excluding Germany and North America, they are our two largest sales regions. And together, they account for 65% of our sales. And these two regions have had a significant impact on the group sales development with a sales growth of 7% each. The sales growth in Europe was driven by, first of all, good sales in the biggest markets, United Kingdom and France, but very important were the development of the Eastern European markets of Poland, the Czech Republic, Hungary and also in Turkey. They all achieved double-digit growth. And these markets also offer good growth opportunities in the future due to their lower market penetration. North America has been our #1 growth engine in recent years and has achieved always high double-digit growth rates every year due to the large free market potential. However, last year, the growth was slightly lower at 7%, also due to the high comparable high level of the previous years. Looking at Germany, we are having received a good result with sales of EUR124 million. Germany remained, therefore, stable -- at a stable level and grew slightly by 2%. On the right side, you see Asia, and that is something that is new for us. We recorded a decline in sales for the first time in many years, and this reflects two effects. On one hand, we had a very dynamic business development in Japan, Korea and the Asian partner markets. Each of those markets had growth rates over 15%. On the other hand, we had to cope with a decline in sales in China. The reason is here, we delivered a special order to a Chinese key account in 2023, which was not repeated in 2024. And the smallest regions also contributed to the growth, albeit at a lower absolute level. So we had Latin America and sales increased by 7% and the sales increase in the Rest of World region, mainly Australia, there is an increase by 15%. So to sum up this chart, this year shows a somewhat atypical picture with a decline in sales in Asia and the comparatively low growth rate in North America. On the other hand, it shows that we once again also have good growth opportunities in established markets, especially in Europe, which we saw quite strong compared to the previous years. Now looking at the development of our product groups, we see on the right-hand side, the iVario. After reporting a decline in sales in the previous year or in 2023 due to a sales shift between the years 2022 and 2023 caused by the supply crisis, the iVario was able to return in 2024 to its growth path with a sales increase of 16%. Besides the overseas very important, the business in the overseas region of Latin America, Asia and the Rest of World developed particularly well. They all had growth rates of around 50% each. Now on the left-hand side, you see the development of the iCombi product group. And due to its size with sales above EUR1 billion, it is clear that it's basically the sales development of the group as a whole. It was a little bit lower by 5% compared to the group growth of 6% and the regional development was the same like we already commented on the regional development of the group. Looking at the result, earnings before interest and tax, EBIT reached a new all-time high of EUR314 million last year, in line with our new sales record. We were able to increase EBIT over proportionally by plus 13% compared to the sales growth. And as a result, our EBIT margin rose to 26.3% and reached the pre-corona level earlier than we originally expected. Overall, we are very satisfied with this new EBIT record and the rapid return of the EBIT margin to the pre-corona levels. Now looking at the P&L a bit in more detail. You see here that in addition to the sales growth of 6%, the main driver of the good earnings development was the significantly improved gross profit margin of 59.2%. Compared to previous year, the gross profit margin increased by 2.5 percentage points. On one hand, we still saw positive effects from price increases for our own products in early 2024, especially for service parts and for accessories. However, the main reason was the decline in raw material prices, especially for chemical products as well as to lower inbound freight costs. The operating costs rose slightly faster -- at a slightly faster rate than sales by plus 7% we recorded the highest increase in the R&D costs where we had an overproportional increase by 25% and thus continue to invest in the future of RATIONAL. However, you have to consider that EUR6.9 million of the R&D costs were capitalized in 2023. So just looking at the expenses, R&D expenses, the increase was around 11%. And as I said, overall, we are quite happy with the EBIT development and the development of our earnings. Now looking at the balance sheet, I'm not quite sure whether the -- now here we are. You are family with our solid balance sheet from the past, and this certainly has not changed in 1 year with an equity ratio of 77% and the liquidity ratio that is bank deposits and short-term investments combined of 45%, we remain very robust. The total assets grew by 12% for the first time to over EUR1 billion with EUR1.106 billion last year. The main reason was the increase in equity due to the good earnings situation and the comparatively lower dividend payout that we had. And that shows on the asset side that we have an increased position of cash and cash equivalents that now is totaling to EUR500 million altogether. Now looking at investment, Peter already talked about our most important projects. When we look at capital expenditures, we continued our investment in the normal range. You see that here on the chart, it was around EUR32 million. So compared to all the other numbers, comparably quite low number. EUR29 million of that was pure assets and pure investment in property, plant and equipment and another EUR3 million was attributed to the capitalization of R&D costs. So Peter mentioned the projects, Wittenheim, Suzhou and also the start of the investment into our logistics center for the service parts. And also for us, it was important to expand our sales network. So we also invested in our sales offices in Japan, in Spain and in Poland. So coming to the dividend. Our dividend policy says at long term, we distribute approximately 70% of the earnings per share to our shareholders. Last year, we paid out EUR13.50 per share, which corresponded to a payout ratio of 72%. And for 2024, we will propose a dividend of EUR15 per share to the Annual General Meeting. This corresponds to a payout ratio of 68%. So the two years, 2023 and 2024, altogether, we have this 70% payout ratio and the increase -- the dividend increase year-over-year is an increase of 11%. And of course, after paying out the dividends, you saw our balance sheet, we have enough liquidity in our company to be able to react flexible on economic challenging situations and also invest in the future of RATIONAL. Now finally, let's come to the sales and earnings guidance for the current year. Overall, we expect 2025 to be another year of growth for us. We expect our long-term growth trend to continue in the mid- to high single-digit percentage range. However, due to the latest economic developments in the U.S., Europe and also in China, we currently consider sales and revenue growth in the mid-single-digit percentage range for 2025 to be realistic. Raw material and logistic prices stabilized last year, resulting in this higher gross margin we talked about. The current signs indicate that prices will remain at the current level. At the same time, we have lowered our selling prices for most of our care products as of January 1, 2025. And this is one reason why we expect a slightly lower gross margin for 2025 than we had last year. And looking at the operating costs, we will continue to invest in our sales force to invest in R&D. So we are planning over proportional increases into sales to continue to win more customers and to increase our customer proximity. We will also continue to build up our production in China. So all the strategic initiatives, they will continue. But on the other hand, we will keep costs that are not related to sales or R&D at a stable rate. Therefore, also, we have initiated an efficiency -- cost efficiency program at our headquarters in Landsberg. So overall, we expect the group operating costs to increase somewhat more than the consolidated sales. And as a result of all what I just said, when I -- all factors mentioned together, we expect an EBIT margin of around 26% for the current year. With that, I'm at the end of our presentation, and I hand over to Tobi, to Stefan, so we start our Q&A session.
A - Stefan Arnold: Okay. Thank you, Jorg. So we start with a few more general questions for Peter. So first question is, what is the outlook for the gastronomy industry in your markets?
Peter Stadelmann: In general, the mega trends for our business remain and they are -- most of them are positive. There are, of course, some differences in regions. In China and in some European markets, restaurants are facing a little bit more challenges. U.S. and Indian restaurants, on the other hand, are more positive about the future. Our global footprint helps us to balance between weaker markets and stronger markets.
Stefan Arnold: Then another more specific question. I'm particularly interested in Unox as they seem to make inroads. And secondarily, in Turbofan [indiscernible]
Peter Stadelmann: Yes. Unox says to be developing very well. The company produces a wider range of products that what we do. So there is a limited sense in a direct comparison between RATIONAL and Unox. They do not publish any details. So we do not have exact information about their share of their combi steamer business within their total sales. The market for sure is big enough for the two of us or for the more than 100 other competitors. We do not follow them very closely, especially the smaller ones like Eurich or Turbofen. I would say in the last years, mid-class producers lost market share like Convotherm, [Linox] (ph) and MKN, another German company. And I think RATIONAL and Unox were winning market shares. Hobart came from -- or comes from dishwashing. So yes, I led it up to you to take any conclusion of that. They launched a very new combi oven, which is produced in France, but we don't see that as a real threat.
Stefan Arnold: Okay. Has anything changed in your key markets in terms of market dynamics or competition?
Peter Stadelmann: No, more or less the same. We see an ongoing structural change from meals served at restaurants with service to other customer groups. So that's definitely the customer group, which is under most pressure, especially in Europe, especially in Germany with very high energy costs and any very high personnel costs. out-of-home industry in total is growing globally and this positive trend is unchanged.
Stefan Arnold: And shouldn't the incoming German coalitions plan to permanently lower the VAT for gastronomy be at least a moderate tailwind for the German out-of-home dining segment?
Peter Stadelmann: If that would, of course, help. Let's see where they really go to, but we should not overtake -- overvalue that because it will be only on food, the reduced VAT, but not on drinks and drinks is roughly 60% of sales of a restaurant, 40% is food. On the other hand, if the minimum wage also will go up, personnel costs for the gastronomy will also go up. And so I would say that race is still open.
Stefan Arnold: Okay. Now change a little bit the topic. We come to U.S. tariffs now. We have a lot of questions there. I start with a quite long one. So what is your current view on the tariff dispute between the U.S. and Europe? And could you please provide a quantification how this will impact RATIONAL? What would be the strategy of the group to overcome these U.S. tariffs? Do you plan to open a new plant in North America? And might there be even some aspects such as RATIONAL single source supply from primary European firms instead of Chinese suppliers that might even give RATIONAL a slight advantage compared to competition?
Peter Stadelmann: Yes. So I think that's a topic with a lot of attention at the moment. It is important to understand that all but one combi oven manufacturers are outside the U.S. The only one being in a domestic supplier is Alto Shaam. So the demand cannot be served by domestic production, I would say, overnight. And as we see that President Trump is now selecting the tariffs a little bit more or let me say, in a more smarter way, I think that's one thing we have to keep in mind. So tariff discussions are very in transparent and highly volatile. So we see them coming one day and the next day they are going or are rediscussed. What we do right now is we are closely monitoring the discussions or the publications, and we prepare different scenarios, which we will then put into action once we have a clear decision or a clear situation. The magnitude of effect is right now not quantifiable, but saying that all the combis come from without the U.S. there might be one way to pass on those tariffs, of course, also to the end customers. That is one way of dealing with that. There is no plan for U.S. production right now. As you know, we assess this, I would say, every 2 to 3 years. But so far, production cost would be much higher. So that's why we didn't start that project yet. The fact that we produce solely in Europe might be an advantage. That's right. Here compared to competitors that heavily source in China, we don't do that. But as said, this needs, first of all, clear information on the terms of any tariffs if ever they will happen. On the other side, the local -- the domestic manufacturers in the U.S. already are imposed an import tariff on steel and stainless steel. So they are already feeling a disadvantage to the rest of the producers outside the U.S.
Stefan Arnold: Okay. Thank you for this. Very long answer as well.
Peter Stadelmann: Sorry.
Stefan Arnold: But another topic here. So what second order effects such as preorders or a weaker U.S. consumer sentiment due to higher inflation from potential U.S. tariffs are included in your outlook for 2025?
Peter Stadelmann: Yes, that's, of course, very theoretical. Of course, our U.S. team was considering the political topics in their own budgeting process. So less purchasing power due to higher inflation is one of these effects. We always see that higher inflation leads to smaller tickets. So people don't go to, let me say, a medium to high-quality place to get their meal, but they go to a medium to low-quality place to get their meal. But they still consume. And in both places, our appliances are perfectly fit to produce those meals. But of course, not any potential scenario or outcome could be considered in detail.
Stefan Arnold: Next questions on that topic and the last one. Can you confirm again that Alto Shaam is the only major competitor in the U.S. that has U.S.-based production and the other key competitors production based in Europe. What are the current market shares in the U.S.?
Peter Stadelmann: Yes, that's -- with relation to the combi steamer business, Alto Shaam is the only one. With relation to iVario, we have none -- no manufacturers of products that come close to what the iVario does for our customers. Our market share in North America is around 45% to 50% likely on a global scale.
Stefan Arnold: Okay. Thank you, Peter. So another question on the installed base now. How many devices do you have in the market? How many are to be replaced per annum? And what does this mean in sales in euros?
Peter Stadelmann: Yes. We guess our installed base is around 900,000 units. thereof roughly 70,000 iVario and the rest then would be combi steamers, self-cooking centers or iCombi Pros. We estimate an average life of around 10 to 12 years. So that's how you can make up how many might be from replacement business and also the relating sales.
Stefan Arnold: Okay. So the next question about the investment project. So by how much will the investments? So for Wittenheim, China and the new distribution center in Landsberg increase the OpEx in the future. Which savings will be possible, for example, for less transportation costs to China or more efficient distribution center operation?
Peter Stadelmann: As a very stable company, we are constantly investing in the future. The projects will have an impact on EBIT in the short term, but it will pay off in the long term. In Wittenheim, we could soon have come to capacity bottleneck due to the good growth of the iVario. You saw the numbers which Jorg presented. In China, we saw that especially Tier 2, 3 and 4 cities would benefit from a combi oven, but could not afford the made in German products so far. So that will also help. And with the distribution center, we position ourselves for the long term in order to be able to keep the delivery quality and reliability at a very high level. Here, too, it is evident that the increasing installed base is increasing the need for service parts also.
Stefan Arnold: Okay. Thank you. So a more general question now on the restrictions. Do you see more restrictions coming from the geopolitical situation right now?
Peter Stadelmann: The geopolitical situation has had no further impact on our business than those previously known.
Stefan Arnold: So now another question on the iHexagon...
Peter Stadelmann: So can you give us an update on the iHexagon in terms of customer feedback, order situation? And when should we expect the commercialization to begin? I would say it started last year. I'm not sure what the person asked that question on the stance on the commercialization. So we have first orders. We have first customers. You saw one in the movie, which are very happy about the high quality, the high volume and the high speed that, again, that's the right spot for the iHexagon. And they are, as I said, very satisfied and happy.
Stefan Arnold: Now we have two more questions for you, Peter, and then we change now on China. So can you give us an update on your activity in China? And could -- one question was answered, I think, start of production and start of sales already. Then we go to the next question, sorry. So can you -- again, can you make an update on your business development in China with the launch of the new product for the Chinese market? How is your production site in China developing?
Peter Stadelmann: Yes. Again, the decline in the area Asia was driven by a very tough comparison with previous year where we had an additional big account from our largest customer, KFC, Yum China. The street business is rather flat, but we are investing in more sales staff as in all our potential core markets, in order to boost sales for the iCombi and the iVario and to be ready then later at the end of this year to start production of the Chinese built for China combi oven, which will be launched early 2026.
Stefan Arnold: Okay. Thank you, Peter. So you now get a little break. And we continue with a few questions for Jorg. So the question is, I am particularly interested in [indiscernible] and which geographies -- geographic regions RATIONAL is both gaining and losing market shares.
Jorg Walter: Well, we do every two years, we do a very detailed analysis of our market situation with competition and market shares. We started this to do on the 2024 numbers, but we are not finished now with this process. But overall, we say that our market share is more or less stable in all regions of the world. There has not -- we have not seen significant change. There might be some regional changes from year-to-year due to bigger projects. But overall, they are quite stable. We have a special situation in the U.S. We saw the numbers are a little bit lower, plus 7% that we presented, but we know from competitors, ITW and Middleby that they were either flat or they had a shrinking sales level in 2024. So from that perspective, we estimate that our market share in the U.S. increased last year.
Stefan Arnold: Okay. Perfect. Could you please remind us what share of the U.S. business is with key accounts? And how did this customer segment perform in 2024? And what is the outlook with these customers for 2025?
Jorg Walter: Yes, there is a big range for the key account business in the U.S. Currently, it is at 15%, but it can go up to around 40% to 50% as it was in former years. That is depending on large-scale rollouts. The last one that we had was to [Dennis] (ph), where we had 1,500 units that was two to three years ago. So currently, we don't have any large rollouts, and that is the region why the market ratio or market share, the sales share was around 15% Okay.
Stefan Arnold: Another question on China. So can you please unpack the reasons for the sales weakness in China? Are there any signs of increased competition or dynamics that you are worried about?
Jorg Walter: Yes, we commented in China the combi market is developing with local competitors. That is why we are developing our new product there, dedicated especially to the Chinese market. In general, we see that the Chinese market after COVID has not come back to the dynamic that we had seen before. And overall, also, we saw that our markets or our sales was down. And as we stated before, that was due to the KFC business, but we rather also had a slight growth in the street sales. And as we said before, we invested we are investing also in sales staff in order to take chance of the Chinese markets, either with our current product portfolio or with the new product that is being launched in 2026.
Stefan Arnold: Okay. So now we discussed a lot about cooking systems. Now we talk about the non-unit business. So what percentage of group sales did you realize in the non-equipment segment in 2024?
Jorg Walter: 2024, the non-equipment share was 31%.
Stefan Arnold: Okay. Now about cleaners. So what is the magnitude of price decreases in the care business that you already did or are planning?
Jorg Walter: We lowered the prices by 5% on the green active green taps and 20% on the green iCareSystem AutoDose. The prices were reduced because, as we stated also in the presentation, we have significantly also lower chemical prices. And then also the strong demand of the iCareSystem AutoDose allowed us to increase the prices -- to lower the prices a bit more due to the scale effects that we do have.
Stefan Arnold: And are there any price reductions planned in addition or price increases across the various revenue streams?
Jorg Walter: No, we accept the cleaner prices. We will have stable prices so far as we foresee. We have no price increases planned, but also no price decreases.
Stefan Arnold: Okay. Perfect. So now a look on the COGS. So can you give us an outlook for the input costs for 2025 and for the logistics cost for 2025?
Jorg Walter: The input costs, they have stabilized on the current level. We expect the material cost to remain around on this level. So we don't see any fluctuation up or down. And the same is true for the logistic costs. They are also expected to stay more or less on the current level. So nothing real -- nothing big changes that we can foresee right now.
Stefan Arnold: Okay. And can you please explain the background for the overproportional cost increase, which cost items are most affected? And do you expect that you will be able to recover these in the coming years? -- via price increases or operating leverage?
Jorg Walter: Yes. When we look at our -- well, first of all, excluding the R&D cost, the -- all the other cost increases were very much in line with our sales growth. And we just did an analysis looking at our cost ratio long term. And when we see the current level, then we see that we are very much even in the line of the cost ratio that we had in 2019. costs, they are over proportional. First of all, we talked about R&D, that's for sure. But also we see a quite increase on costs for IT, so for IT securities, application, pricing, digitalization, but we are working hard to get a return on investment on these costs. So therefore, we overall think that the overall cost ratio will remain at a stable level.
Stefan Arnold: So assuming that the lower level of R&D capitalization is due to the completion of iHexagon development in early 2024. What is driving the R&D spend other than the high personnel costs? Are there any specific projects?
Jorg Walter: Well, we don't tell anything about our R&D projects. So we didn't do that in the past, and we will continue to do so. So no specific information on that one.
Stefan Arnold: So now another question on the tax rate. You restated your tax expenses and deferred tax assets in fiscal year 2024 annual report. At the same time, your tax rate was closer to 23% in 2024. What's the long-term guide for this item, please?
Jorg Walter: We expect a tax rate of around 25% in the midterm future.
Stefan Arnold: So now a question to our sales outlook. You used a different word in your outlook in the press release and the annual report. A mid-single-digit sales growth is achievable in the press release and is realistic in the annual report. As the annual report is dated from early March, could you clarify the sales growth outlook? Should we understand that between the reduction of the annual report and the issuance of the press release, the outlook has turned a little bit bleaker.
Jorg Walter: No, that is not the case. So we would say from today's perspective that realistic is the right word.
Stefan Arnold: So sales growth outlook was -- no, sorry, sorry, start again. Could you help us understand how the mid-single-digit sales growth outlook breaks down in volume, price and FX, please?
Jorg Walter: Could you help us understand Okay. Yes. Okay. So as I said, the prices are basically on a comparable level. So therefore, the growth will be all volume effect. Also, we don't see any big fluctuation between the unit and non-unit business. So it's basically volume driven.
Stefan Arnold: Thank you. So now a look to the U.S. or the North American territory. Could you give some color on sales development and the outlook in North America? What is your comment on the pricing environment in the U.S.? What is your outlook for the market in North America?
Jorg Walter: Yes. Well, first of all, I commented on the different, let's say, different segments we have in the U.S. before. So key account is on a comparable level. It was 15% of sales. The street business currently is running well. there is one important segment of the market that is our school business that is heavily dependent on government funding. And that is -- each year comes into the summer. So this is one topic that we closely look that the funding is available for this share of business. But as I said, street business is -- other than that is running good right now. And from a group perspective, we always expect over proportional growth from the North American market for our group sales.
Stefan Arnold: Okay. Thank you. So now two questions on the -- or three questions on the margin outlook. How should we think about your about 26% EBIT margin outlook? Does it actually imply a plus or minus 100 basis points range as you were implying last year for your margin guidance?
Jorg Walter: Yes, that is our intention. So with the 26.3% we had this year, guidance is 26% and the plus/minus 1 percentage point is a realistic one.
Stefan Arnold: Now the second one, how does the margin outlook reconcile between a slightly lower gross margin and around 26% EBIT margin, especially if you continue increasing some of your operating expenses, would you see your overhead cost ratio as a percentage of sales still be down because you critically examine the need for other operating costs that do not need to increase as much?
Jorg Walter: Well, there are no really big margin fluctuation year-over-year in those two line items, so the gross margin and the OpEx. Gross margin is a bit down. It's not dramatic. I commented that earlier, it's due to the price decrease for the cleaners. And the overproportional cost increase is also not dramatic. But I think with these initiatives, the efficiency initiatives in Landsberg, that's why we can keep that, let's say, in a certain range. So they are not a big change of OpEx regarding the sales development.
Stefan Arnold: And now a midterm question on the margin outlook. So how should we think in terms of the longer-term margin potential? Is 25%, so the lower end of your range, a good guide? Or is there actually potential for a bit more like the 26%, for example?
Jorg Walter: Yes. I mean we commented in the call that we were coming back to pre-COVID levels faster than expected. And before, we always said 25% is a good measure. Now being at a level of 26%, we don't want to say 25% is the right one. I would say 25% to 26% range is a good range for us. it's needed. We need to have investment also in cost in order to ensure our sales growth. So the 25% to 26 percentage range is a good guidance for us.
Stefan Arnold: So now two questions on Q1. I just read them together. So what do the early order trends for 2025 tell you about customer appetite, product mix, regional mix, et cetera? And second, can you please provide at least some color on the ordering trend you have seen in Q1?
Jorg Walter: Yes. We are -- in this call, we are not answering any questions regarding Q1. We will publish our numbers regarding the first quarter on May 6.
Stefan Arnold: Okay. Next question is on the long-term sales. What will it take or what needs to change for RATIONAL to return to the normal growth algorithm of high single-digit sales growth?
Jorg Walter: Yes. Well, in the end, we said our business model is intact. That means that we have free market potential and our strategy in the past, investing in salespeople that are close to the customer, demonstrating or also working on sales opportunities together with our customer is still the right recipe in order to tap this free market potential. So our strategy will be, again, to increase our sales capacity in the different markets in the U.S., in Asia, but also in certain markets in Europe, and that will bring us back to the normal growth rate.
Stefan Arnold: Okay. So next question is maybe on the same topic. What is your outlook for the markets in North America, Latin America, Asia and Europe?
Jorg Walter: Well, it is a little bit like it used to be in a normal year, though not last year, but the overseas market, they have a very lower -- or they have a lower market penetration compared to Europe. And that is why we always say we see in Germany, low single-digit percentage range possible. In Europe, it's the mid-single digit, and it should be high single digit to double digit in the overseas markets, either in North America or in Asia.
Stefan Arnold: Okay. Thank you. So a question about the gross profit margin outlook. Why is it slightly lower for 2025 expected compared to 2024?
Jorg Walter: Yes, we talked about that already. It's basically due to the price reduction in the cleaner products.
Stefan Arnold: So now two last CapEx questions for you, Jorg, and then we can again change. So what is the CapEx budget for 2025? And how is it allocated across the various expansionary projects you have outlined in the presentation?
Jorg Walter: Okay. Well, the budget for this year is -- I mean, our expectation is around EUR40 million. And the numbers that Peter showed in the presentation these projects, they run over three years. So that's why it's a part every year. So in total, it's around EUR40 million that we expect to be invested in 2025.
Stefan Arnold: Okay. And in general, what are your future CapEx plans? What can you say about that?
Jorg Walter: Yes. I mean you saw the chart. We are quite stable at a level between, I would say, EUR35 million in the former years. Now with the investments to be made in China, the one, the logistics center and maybe also some other planned expansion, we see that will be around EUR40 million in the future. But as I said, one year, a little bit lower, one year, a little bit higher.
Stefan Arnold: Thank you, Jorg. So now again, a few questions for you, Peter. So the first is on the wage increases 2025 and 2026 and what are your plans here?
Peter Stadelmann: Yes, we usually look at the local national inflation rate. So that means that we -- the big majority of employees will probably be around 2% to 3% this year. We usually do that in the mid of the year. So that means it will affect second half of 2025 and first half of 2026.
Stefan Arnold: Okay. And the company had a quite strong increase in sales staff in 2024. Should this not convert to a faster sales growth than in 2024?
Peter Stadelmann: We hope so that, that will happen. But still, we need to onboard the people. We need to train them. So we take former chefs and try to convert them in salespeople. That's sometimes not only working, but that's correct. So if we are successful in making them operative, they will turn in higher sales growth.
Stefan Arnold: Okay. Thank you. So now two more questions on the iHexagon. So is there a margin uplift included in the current prices of iHexagon? What is the current acceptance level of the iHexagon on that price level? How fast are you ramping up production?
Peter Stadelmann: Yes. So the iHexagon margin should not dilute our group margin. That's what we always said. That's also true with the Chinese build. Pricing reflects the high customer benefits. You saw Christian telling us about the speed and the quality. Production capacity will be adjusted according to the order volume as we always produce any product just to order. So we do not have large warehouses and that's the same for the iHexagon. If there would be a peak demand, but I don't expect that because also on customer side, the plant on customer side, the infrastructure needs to be ready. But if that would happen, we can, of course, have additional shifts to increase the production capacity.
Stefan Arnold: Okay. And regarding your mid-single-digit growth guidance for 2025, what contribution comes from the iHexagon? Does the guidance include any price hikes? And if so, how much?
Peter Stadelmann: The iHexagon contribution is still small, probably invisible and is not expected to heavily influence total sales yet, and we will not report iHexagon sales too soon.
Stefan Arnold: So now another question on China. I recall that production was supposed to start in 2024 and marketing in 2025. Has this been shifted by 12 months? Can you share the reasons for the delays?
Peter Stadelmann: No, we always expected to start production in 2025. Previously, we thought to start sales end of 2025. This now has been re-dated to early 2026 after Chinese New Year and also using a big trade show in China for that event.
Stefan Arnold: Okay. So -- now two final questions on the most important topic these days, the tariffs again. Have you started stockpiling inventory at your U.S. warehouse to reduce the risk of short-term disruptions from tariffs being applied to EU products? What is the normal inventory level for you keep there?
Peter Stadelmann: No, we don't plan to do so. As stated earlier, we are currently looking at the developments and we'll decide once we are -- we have better and firmer information. Normal inventory level -- we don't know -- all of us don't know. Sorry for that.
Stefan Arnold: Okay. And then the last question. What is your best guess on volumes if tariffs were applied in the U.S. to the entire market as basically all major competitors are in Europe?
Peter Stadelmann: So if anybody knows, please call us. That's quite difficult right now to assess. I assume that most competitors prefer increasing their prices accordingly. And we, at RATIONAL, we will see. So we might do so, but we might also put some pressure on our competitors in not doing so. As you saw, we decreased prices for the cleaners. Some competitors commented on that, that's not the right way to go. For us, it is because it increases customer benefits. And as I said, we will have a better picture later and then also, of course, inform on what our decisions will be.
Stefan Arnold: Thank you, Peter. Thank you, Jorg. And with this, I hand over to Tobias.
Tobias Stadler : So well, it seems that all questions are answered. Thank you for you all for participating in the call. We hope you found it helpful. Please feel free to provide any feedback. And if there are any more questions, of course, you can always send them via e-mail. If you allow me to make a brief comment, I would like to invite you to our IR follow-up talk on the results published today. So this call will take place next week on April 3, 2025, at 2:00 p.m. CET. And please note that this will be the last public call before we go into the quiet period. You can register via the IR calendar on our website, and I would be pleased to welcome you to join the session. With that being said, I hope to see you next week. Otherwise, see you for the Q1 release on May 6, 2025. Take care, and bye-bye.